Operator: Good morning, ladies and gentlemen, and welcome to the Ideal Power Second Quarter 2024 Results Call. [Operator Instructions] As a reminder, this event is being recorded. I would now like to turn the conference over to Jeff Christensen. Please go ahead.
Jeff Christensen: Thank you, operator, and good morning, everyone. Thank you for joining Ideal Power's second quarter 2024 conference call. With me on the call today are Dan Brdar, President and Chief Executive Officer; and Tim Burns, Chief Financial Officer. Ideal Power's second quarter 2024 financial results press release is available on the company's website at idealpower.com. Before we begin, I'd like to remind everyone that statements made on the call and webcast, including those regarding future financial results and company's prospects, are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company's SEC filings for a list of associated risks, and we would also refer you to the company's website for more supporting company information. Now I would like to turn the call over to Ideal Power's President and CEO, Dan Brdar. Dan?
Daniel Brdar: Thank you, Jeff, and thanks, everyone, for joining us today on our second quarter conference call. I'm excited to update you today on our progress since the start of the second quarter as we've accomplished a couple of our key milestones for the year and made significant progress with several key customers. Then I'll turn things over to Tim Burns to discuss our financial results. We'll be pleased to answer your questions after our remarks. I'm delighted to report that on a number of new developments at Ideal Power. I'll cover the key highlights briefly then discuss them in a little bit more depth and provide context for their importance. First, we are collaborating with our third global automaker, along with our previously announced engagements with Stellantis and a second top 10 global automaker. Second, we announced a global distribution agreement with a second distributor that is particularly strong in Asia. This distributor is already placing orders with us. Adding distributors and channels to market is one of our key 2024 milestones. Third, we qualified a second wafer fabrication supplier with high-volume production capability. This is also one of our 2024 milestones. Fourth, we secured orders for B-TRAN devices and circuit breaker evaluation boards from a global leader in power semiconductor and power electronic solutions. Fifth, we secured an order for B-TRAN devices for evaluation in solar inverter applications from a top 10 global provider of power conversion solutions to the solar industry. This company was a participant in the B-TRAN test and evaluation program. Sixth, we secured an order for SymCool Power Modules and drivers from a Forbes Global 500 power management market leader that also participated in our B-TRAN test and evaluation program. Seventh, we added a global leader in circuit protection, industrial fuses and power conversion technology with over $1 billion in annual sales to the roster of our test and evaluation program. And eighth, based on the results of testing, we increased the current rating of our SymCool Power Modules by 25%. When combined with an approximate 50% size reduction we recently implemented, we dramatically increased the SymCool Modules' power density. Looking first at the automotive market; we continue to leverage the work we're doing with Stellantis to attract other auto OEMs and to evaluate B-TRAN for their next-generation electric and hybrid vehicle platforms. This quarter, we added a third global automaker to our list of customer engagements. After learning more about our technology and products, their team realized the potential benefit of B-TRAN in several locations in the EV drivetrain. Their initial focus is on EV contactors. This global automakers engineering team is working closely and meeting regularly with our engineers on the use of B-TRAN-enabled contactors to potentially replace electromechanical contactors in -- across its EV platform. Contactors serve as cutoff switches for high-power applications in EVs. They play a critical role in isolating the battery, inverter and high-speed charging system to ensure safety when the vehicle is off or being serviced. Contactors are bidirectional and there are typically 4 to 6 high-power contactors in every EV. In the assessment of the automotive OEM, the bidirectional nature, ability to accommodate higher voltage DC platforms, fast speed and low conduction losses of B-TRAN make a solid state contactor a good first use case for their EVs. Solid state contactors and EVs are an emerging market and our technology is potentially enabling for this application due to its very low conduction losses and inherent bidirectionality. High-power EV contactor market is forecasted to grow to over $3.7 billion in 2025. And we believe that over time, solid-state contactors will potentially displace electromechanical contactors in half or more of this market. This market is additive to the serviceable addressable market for B-TRAN that we've shared with you previously. We're excited to add another global automotive OEM and look forward to expanding our collaboration with them. Turning to Stellantis; as many of you know, we successfully completed Phase 2 of our program with them a few months ago and eagerly waiting to begin Phase 3. What's been happening in the meantime is we continue to meet with their team weekly, while they developed and sent out the drivetrain inverter solicitation to roughly a half a dozen Tier 1 suppliers. The Tier 1 suppliers were asked to provide their proposals to supply the B-TRAN-based drivetrain inverter. Stellantis introduced our team to the Tier 1 suppliers we were not already working with, so we could bring them up to speed on the technology, our products, the unique configuration that we developed for the application and the corresponding test data that demonstrated we provide better performance compared to other silicon and silicon carbide solutions. The Tier 1 inverter proposals have been submitted, and Stellantis is in the process of reviewing the proposals and will down select to one or two Tier 1 suppliers to design and build the drivetrain inverter for their new EV platform. In a parallel effort, Stellantis is working with us and a large semiconductor company with expertise in driver control circuitry for the B-TRAN inverter drivers. After the Tier 1 inverter supplier is selected by Stellantis, we expect to start Phase 3 working with the Tier 1 suppliers and Stellantis' team with the objective of developing a production-ready B-TRAN Power Module for use in their EV drivetrain. Completion of the B-TRAN module is still targeted for 2025. While their focus continues to be on a custom B-TRAN Power Module for use in the EV drivetrain platform, they also continue to express interest in B-TRAN for battery circuit protection as well. Turning to the previously announced top 10 global automaker in our test and evaluation program, we've been able to share the unique B-TRAN configuration we developed for EV drivetrain inverters with them as well as the test data we generated under the Stellantis program. Since we're not constrained under our arrangement with Stellantis, we're using the design work and test data to attract other automotive OEMs and Tier 1s to explore and adopt B-TRAN for their next-generation vehicles. As a result of the test data we provided, the top 10 automaker is moving forward and expected to order hardware for testing by their design team. We're also introducing them to the concept of B-TRAN-enabled EV contactors. This gives us two opportunities with this automaker that could evolve into formal programs. Now let's discuss industrial markets as they are expected to be the early source of our product sales and revenue. We secured orders for B-TRAN devices and circuit breaker evaluation boards from a global leader in power semiconductor and power electronic solutions in connection with its launch of a multiyear DC power distribution system program. This opportunity was introduced to us through our new distributor relationship with RYOSHO. The company presents multiple opportunities for us as it addresses several of our target industrial markets, solid state circuit breakers for industrial facilities and electric utility grid infrastructure and renewable energy. [indiscernible] solid-state circuit breaker applications, our B-TRAN technology has clear advantages, providing dramatically lower conduction losses, lower costs and bidirectionality compared to electromechanical breakers and IGBT and silicon carbide MOSFET-based solid-state circuit breakers. Also during the quarter, we secured an order for B-TRAN products for evaluation in solar inverter applications from a top 10 global provider of power conversion solutions to the solar industry. This customer is previously -- was a previously announced participant in our B-TRAN test and evaluation program and is one of several who are advancing from that program to beginning to order products from us as part of their application-specific development work. While moving through the test and evaluation program with these large companies takes time, we're excited to see many of them taking that next step with us and begin ordering commercial products in small quantities. We're also pleased that we've not had any companies drop out of the test and evaluation program. We also secured an order for SymCool Power Modules and drivers from a Forbes Global 500 power management market leader that was also a participant in our test and evaluation program. This global power management market leader is evaluating SymCool against IGBT modules for use in solid-state circuit breaker applications. This customer's order for SymCool Power Modules follows their testing of discrete B-TRAN devices. In response to this customer's request, Ideal Power provided high-volume quotes for SymCool Power Modules. This customer may also evaluate our technology for other power conversion applications. Also, we're very pleased that multiple customers in our test and evaluation program are advancing to initial orders with us. We also added a global leader in circuit protection and industrial markets with over $1 billion in annual sales to the roster of the B-TRAN test and evaluation program. This global supplier presents multiple opportunities for us as they address several of our targeted industrial markets, including industrial fuses, renewable energy and energy storage power conversion, rail transportation and EV power management. As part of our effort to expand our geographic and application diversification, we added a second global distributor, RYOSHO, a subsidiary of RYODEN CORPORATION. RYODEN is listed on the Tokyo Stock Exchange and has almost $2 billion in annual sales. They have 21 international sites, including RYOSHO USA. RYOSHO was focused on the sale of semiconductors and other electronic components. This distributor already placed orders with us from a large global customer in Asia, interested in the company's products for solid-state circuit protection applications. This is a significant development in the commercialization of our B-TRAN technology. As a small company, we cannot efficiently reach the large global customer base for our products on our own. By leveraging the large investment in semiconductor sales and distribution networks, we can reach many customers that would be difficult to us engage or educate about our products and technology. Like Richardson Electronics, RYOSHO has a strong technical sales team with expertise in generating demand and securing orders for new products and technologies and has a global customer base. Their sales focus is particularly strong in Asia, which complements Richardson's geographic strength. We look forward to collaborating with RYOSHO to secure additional orders, particularly in the Asian markets, where they have an extensive customer base. Adding distributors for our products is one of our key milestones for this year and will likely add others in the coming quarters to address geographies or customer segments not covered well by our existing distributors. Another key milestone we completed in the quarter was the qualification of a second wafer fabrication supplier with high-volume production capability. This facility in Europe, along with our previously qualified wafer fabricator in Asia adds dual sourcing for wafer fabrication, geographic diversity to our supply chain and will support future revenue growth, providing ample capacity to support anticipated customer demand over the next several years. This fab successfully completed a multi-wafer full process [ flow ] engineering run of double-sided B-TRAN wafers. By leveraging our proprietary proven process flow, this foundry was able to produce functional bidirectional devices under initial run without the need for special equipment or capital investment. Initial devices from this run have already been packaged by our packaging partners and successfully tested in our lab. This fab has demonstrated expertise in commercial manufacturing of high-power bipolar devices such as IGBTs. It's a qualified manufacturer of semiconductor wafers to multiple Tier 1 automotive suppliers. This will help Ideal Power to attract and engage prospective automotive OEMs and Tier 1 suppliers as customers since the fab is ISO 9001 and ISO 14001 certified to globally recognized standards for quality and environmental management systems. Our dual sourcing for wafer fabrication in disparate geographies has no exposure to China or Taiwan to mitigate supply chain risk. Turning to product development; based on the results of testing, we confirmed that our initial product ratings are quite conservative, and our device design is very capable of providing high performance and handling the current and voltage ratings required for our target applications. For example, our discrete device is currently rated at 50 amps and has been tested on a long duration basis at 150 amps without failure or any loss of performance. As a result of our test data, we are modestly increasing the current rating of our SymCool Power Module at 25% from 160 amps to 200 amps. While we feel this is still a conservative rating, the customer feedback we've received from our test data reflects our comfort level in making this change. Along with the rating increase, we also implemented a reduction in the physical size of our Power Module of approximately 50%. This combination dramatically increases the power density of the SymCool Power Module, which allows customers to use less space in their OEM products to accommodate the semiconductor devices, which helps them lower cost while improving efficiency and overall performance. As part of our cost reduction initiatives, we're also planning on reducing the cell size of our B-TRAN die. This will allow us to double the number of dies per wafer, which effectively doubles the number of dies per year that our wafer fabrication partners can produce, significantly expanding our available capacity for our large volume target customers such as automakers. Also since wafer processing cost is on a per wafer basis and [indiscernible] significant cost reduction for our products as we scale up production. We recently began our first engineering run of this second-generation B-TRAN die design. While it will take us a few runs to incorporate and finalize any learning from this effort, no significant process changes are expected. Also in the third quarter, we expect to begin the wafer runs we'll use for third-party reliability testing and automotive qualification. This tends to be a lengthy process due to the time it takes to complete thousands of power cycles and all the other testing required to meet automotive standards. Completing this process will also help us with industrial customers since automotive standards are the most stringent testing requirements, the acceptance of a new technology with a large industrial customers as well as automotive OEMs and Tier 1 suppliers definitely benefits from being able to share the third-party reliability and qualification data with prospective customers. We're not aware of any impeding inherently bidirectional, high-power technologies that are using anything similar to our technology. Looking at our expanding B-TRAN patent estate, we currently have 87 issued patents with 40 those issued outside of the United States. Our current geographic coverage for our patents includes North America, China, Japan, South Korea, India and Europe with pending coverage in Taiwan, all representing our high-priority patent coverage geographies. As part of our product development and introductions, we've expanded our patent efforts to include what we believe to be high-value patents for our driver design and controls and double-sided packaging designs as both are unique due to the bidirectional nature of our technology. As a result of our continued innovations, our list of pending B-TRAN patents is now 45. In addition, we treat the proven process flow we use to make our devices as a trade secret and work under strict confidentiality with our wafer fabrication partners. So even if a competitor studied our patents, they wouldn't have the know-how to be able to fabricate the device. The bottom line is we continue to execute on our B-TRAN commercialization road map to prepare for the significant sales [indiscernible] we're expecting initially in industrial markets and then followed by opportunities in hybrid and electric vehicles. We remain on track to achieve our 2024 milestones and look forward to continuous progress with existing relationships, new collaborations and several commercial announcements in the coming months. Now I'd like to turn the call over to Tim Burns to review our financials. Tim?
Tim Burns: Thank you, Dan, and good morning, everyone. Second quarter 2024 cash burn was $2.2 million, up from $1.9 million in the second quarter of 2024 and up from $1.8 million in the second quarter of 2023. Our Q2 cash burn was at the low end of our guidance of $2.2 million to $2.4 million due to the timing of spending and related payments. We also added $2.1 million to our cash balance in the second quarter due to the exercise of the overallotment option by the underwriters from our late March public offering. In total, we raised net proceeds of $15.7 million from the public offering. We continue to manage expenses prudently and aggressively. We expect third quarter 2024 cash burn of approximately $2.4 million to $2.6 million and a full year 2024 cash burn of approximately $8.5 million, net of an expected $1 million benefit from proceeds from expiring heavily in the money warrants. Cash and cash equivalents totaled $20.1 million at June 30, 2024. We have no debt and a clean capital structure. We recorded minimal revenue for the second quarter on low volume orders from the large companies evaluating our products for potential inclusion in their OEM products. Looking at the balance of 2024, we expect modest volume in commercial revenue from product sales and potentially development agreements depending on the timing of revenue recognition under any such programs. Operating expenses were $2.9 million in the second quarter of 2024 compared to $2.4 million in the second quarter of 2023, driven primarily by higher research and development spending as we were engaged with two fabs and added engineering personnel. We expect both research and development and sales and marketing spending to increase modestly in coming quarters due to hiring and costs associated with our development and commercialization efforts. We also continue to expect some quarter-to-quarter variability in operating expenses, particularly our research and development spending due to the timing of semiconductor fabrication runs, product development, other research and development activities and hiring. The timing of equity grants and weighted stock-based compensation expense will also cause variability in our quarterly operating expenses. Net loss in the second quarter of 2024 was $2.7 million compared to $2.3 million in the second quarter of 2023. At the end of June, we had 7,693,917 shares outstanding, 887,160 prefunded warrants outstanding, 977,313 options in stock units outstanding and 786,420 warrants outstanding. 444,180 of these warrants outstanding are set to expire in November, if not exercised, beforehand. At June 30, 2024, our fully diluted share count was 10,344,810 shares. At this time, I'd like to open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] And the first question today is coming from Brian Dobson from Clear Street. Brian, your line is live.
Brian Dobson: Thanks very much for taking that question this morning. So just to kick it off, as you're looking out over the next 12 months, how do you feel about the macroeconomic environment, given, call it, recent market fluctuations? How confident are you in continued growth? And what is your kind of broader product demand landscape look like over the next 12 months?
Daniel Brdar: Yes. It's interesting when we're working with folks like the automakers who are working on models in the out years, there's a lot of noise around what's going on in the auto industry with plant closures and high cost of cars and cost of financing. But the groups that we're working with are pretty focused because they're not working on the products that are going to come out this year. They're working on the products for the future. So we see really no short -- shortage of funding or focus in those areas. And the macro trend in the long-term that really benefiting from is the adoption of electric vehicles, the need for EV charging, the adoption of renewable energy and energy storage. Those macro trends are there. They're going to go through their own growing pains. And obviously, some of those are really susceptible to project financing costs and interest rates. But in general, we haven't seen any impact or even get a sense from the teams that we're working with that they're being told to slow down what they're doing. So we're excited about that.
Brian Dobson: Yes, good. Thanks. So you're working with a third OEM now. How do you believe your work with past OEMs has prepared you for this trial? And is there something unique about these three OEMs that are moving them to an early adoption versus others?
Daniel Brdar: Yes, good question. Going through the process with Stellantis has really helped us a lot with engaging the other automakers because we understand how they look at technology. We're understanding the kind of data they want, what kind of testing they want, how they want it packaged and presented. So I think it's really helped us come across as a very professional company with these other automakers because we work so closely with the Stellantis team. So that's been really beneficial for us.
Brian Dobson: Thanks. And as a follow-up to that would you describe the margin opportunity in industrials compared with automotive? And what would be reasonable in times from testing to implementation for both industrial clients on OEMs?
Tim Burns: So in terms of timelines, I mean, on the industrial side, design cycles are roughly a year. So it's -- as we look at converting some of these customers to design wins, that's kind of the rough timeframe you need to look at. Now with the automotive company, I would say it's significantly different. Its three-plus years even with everything they've done to try to speed up that design cycle for EVs. I still think that's probably what we're looking at in terms of the EV cycle. Obviously, we have a head start on that cycle with Stellantis since we've been engaged with them now for an extended period. But that will remain true. In terms of gross margins, our overall target gross margin, so including mix is about 50% gross margins at scale. If we look at that, we actually think that the industrial opportunity is probably a little bit higher margin for us, particularly in places where we're an enabling technology like solid-state circuit breakers, and we believe we're the best alternative and there probably isn't another very good alternative. So that's definitely an opportunity for us. We would expect automotive to be less than 50% just because they're obviously extremely focused on cost, and that's really going to help drive EV adoption if they can bring the cost of their vehicles down.
Brian Dobson: Excellent. Thank you very much.
Operator: Thank you. [Operator Instructions] The next question is coming from Kris Tuttle from Blue Capital -- apologies, Blue Caterpillar. Your line is live, Kris.
Kris Tuttle: Hi. Thanks for taking my question, and congratulations on the study progress. I wanted to understand a little bit more about the solid-state semiconductor application. And specifically, you've got Richardson and now RYOSHO as distributors. Are they -- in order for them to be effective, do they need to provide a set of like field engineering services around packaging the B-TRAN into a fully functioning replacement? So that's kind of my first question, sort of understanding what other pieces are involved in that part of the go-to-market.
Daniel Brdar: Yes. What we provide them is the SymCool Power Module, which is already packaged up for electrical connection. We teach them about the application. We teach them about device so they can sell it. And they're selling to customers that will ultimately make the circuit breaker. So we provide them the data that shows, for example, you can parallel devices to reach whatever rating you want. We provide them the information so they can teach the customers how to control it. So what they're really providing is a technical sales function. They don't actually have to do any kind of product modification or provide any kind of hardware or software. It's really education about the application and how to use our device in it.
Kris Tuttle: Okay. Yes, that's helpful. And then in terms of the -- kind of looking at your device versus existing solutions, I understand about the power loss thermal efficiency, etcetera. But is there a cost differential here? And can you quantify kind of what it might look like in some of the applications that you started working on your device fully integrated versus the existing circuit breaker technology that's out there.
Daniel Brdar: Yes. The existing circuit breakers that are out there, unfortunately, there really isn't much in the way of solid-state circuit breakers at the industrial and utility level. And it's because of the fact that existing semiconductors like IGBTs, their conduction losses are too high. So there's too much loss power. There's too much heat that has to be generated. So the conventional circuit breakers are electromechanical devices. And there's a couple of issues with those. The electromechanical devices are basically contactors that open. And when you open the contacts, you get an arc and that creates wear. So they need to -- they have maintenance associated with them. But the bigger challenge that we're hearing from the customer base and the folks that want to design these solid-state circuit breakers is our utility system is changing. It wasn't originally designed for all this energy storage that's going in distributed locations, all the solar, all the EV charging that's going to be put in. So there needs to be better circuit breakers that can act faster in the event that there is a fault that occurs at one of these installations. And a solid-state circuit breaker can act literally orders of magnitude faster than a conventional electromechanical breaker. So that's a big part of what's driving that adoption.
Operator: Thank you. I will now turn the call back to Jeff Christensen to read questions submitted through the webcast.
Jeff Christensen: Thanks, gentlemen, and thanks, operator. The first submitted question is Stellantis Ram charger extended range EV with an advertised 690 mile driving range is slated to debut next year. Sales of extended range EVs in China have more than doubled in the last year, and extended range EV sales are projected to grow rapidly in the U.S. in coming years. Do you view this as new potential trend as a threat or a benefit to Ideal Power?
Daniel Brdar: Actually, it's a benefit because what they're doing with the chart, the Ram charger and across the industry is they want to address a couple of their key issues. One of those is, of course, the range of the vehicles. The other one is the time it takes to charge vehicles. So what they're doing on the Ram charger, it already exists, I think, in Porsche's vehicle. And we know several other auto manufacturers are making this move themselves. They want to move from a 400-volt system for the batteries to an 800-volt system because that enables them to do a couple of things. One is they can actually drive the motors with higher voltage and lower current, which means there's less heat produced because heat's really a function of current. If there's less heat that's produced, electronics last longer, wiring harnesses get lower costs, significantly cheaper and most importantly, managing the heat during charging is one of the things that [ paces ] how long it takes to charge the car. So if you can charge it at higher voltage and lower current, you can charge it faster. And if they moved to an 800-volt bus that really fits really well with Ideal Power because we have a 100-volt rated device. So we're actually happy to see them going in that direction because addressing some of the market concerns with charging time and range and just creates more opportunity for us where we can leverage the full voltage capability of our devices.
Jeff Christensen: Thank you. Our next submitted question is, can SymCool Power Modules be configured for the high voltage and current needed for high-power EV contactors?
Daniel Brdar: Yes. The nice thing about our devices is they can be paralleled and they exhibit behavior that's different than things like MOSFET. They have what's called a positive temperature coefficient versus a negative temperature coefficient. So that means if one device is [ failing ] for some reason, with a positive temperature coefficient, more power is sent to the devices that are lower temperature. In other words, not getting so hot. In things like MOSFETs that are negative temperature coefficient, it actually ultimately ends up in a failure because the hotter the device gets, the more current it conducts. So having devices you can parallel with a positive temperature coefficient really allows you to string them together to whatever size rating you want to target for voltage and current, which is what gives you a lot of flexibility when you start looking at a line of solid-state circuit breakers, you can use the same core device and configure the products for whatever your market applications are that you're targeting.
Jeff Christensen: Thanks, Dan. We have several questions that have been submitted. If you have a question, you click on the Ask a Question button in the webcast portal. Our next submitted question is, does silicon carbide devices have much higher heat tolerance? How does B-TRAN compete against the high tolerance of silicon carbide?
Daniel Brdar: Silicon carbide as a material has a higher heat tolerance, but the packaged devices are typically limited to about 175 degrees C. Silicon devices are typically 125 degrees to 150 degrees C. The problem isn't the silicon carbide material. It's the packaging where you have a limitation because high temperature packaging has a lot of challenges. So when we see people using silicon carbide, it's less for the higher temperature capability and more because their application requires faster switching than what you could do with any silicon device because it's faster switching is inherent to the silicon carbide material. The challenge with it, though, is you've got to have higher heat tolerance if you generate more heat. And silicon carbide devices have higher conduction losses, so they're going to have more heat to generate, and you got to deal with the cost of that material. It's 3x to 5x higher for a silicon carbide device versus silicon device. So in the semiconductor world, there's always trade-offs in terms of what you get for performance versus cost.
Jeff Christensen: Thank you. Our next submitted question is, will B-TRAN be cost effective compared to 500 A mechanical high-voltage contactors that can be as low as $120 for a single unit?
Daniel Brdar: Yes. The high power side, what we're hearing from the automobile OEM, they're actually higher cost today, I guess, just because of some of the changes that they require for high-voltage or high-speed charging. Our product will be competitive. We've gotten really good feedback from the automobile OEM in terms of what they're looking for in terms of the cost target and the performance level. We can obviously parallel die to reach whatever the [ amp ] rating is that they want to design for the contactor. Plus what the OEMs are telling us is they also like the fact that the contactor can now act orders of magnitude faster than the traditional mechanical contactor. And you have the added benefit of it being programmable and no contacts to wear or fuse and that combination of reliability, programmability and speed is pretty attractive in terms of what they need to address some of the demands, particularly as they go to higher voltage buses and faster and faster charging on the vehicles.
Jeff Christensen: Thank you. Our next question is, are Richardson and RYOSHO have similar agreements with Ideal Power?
Daniel Brdar: Yes, they're very similar. What we like is that they're very complementary companies because they both have great technical sales teams. They are very good at demand creation, very good at bringing new semiconductor technology to their customer base but have really complementary geographies in terms of where they're focused and they're -- under our agreements with them, they are compensated in the same way. So we think with two of them are going to really be a nice complement to our own business development team. To reach those customers that would be hard for us to reach on our own.
Jeff Christensen: Thank you. Our next submitted question is, in general, what would be the argument for not purchasing Ideal Power products? Do they need to be proven to meet quality standards? Are they more expensive than status quo?
Daniel Brdar: Well, we'll actually -- as I mentioned in the prepared comments, we're going to actually start a third-party testing for automotive qualification. The reason for not purchasing that I would expect to see is engineers are, by nature, conservative. And the adoption of new technology doesn't happen quickly. They need to understand the technology. They didn't learn about B-TRAN in school like they probably learned about what a MOSFET is. You don't have years and years of devices operating out in the field. So it's the conservative nature of engineers that I think will probably be the issue that any new technology faces. GaN devices have seen that, silicon carbide when they first started coming to market, they saw that also. So it's really just part of that new technology adoption issue that would be a reason to not purchase it. Our costs will certainly be competitive and we'll certainly have the same codes and standard certifications that other traditional devices will have. So it's just that education that you have to go through with any new technology you bring to market.
Jeff Christensen: Thank you. The module size reduction is great news, but will that impact customer testing timelines?
Daniel Brdar: It won't. And it actually came from some of the customer feedback. As they got to know the device, we shared with them what the layout internal to it is, may want to know, can we make it smaller since we're pretty conservative in the design that we did for it. So it really reflects what they were looking for to actually have it physically match the size of an Infineon package that's out there. So it helps them be a little bit more plug and play in terms of their own products be able to keep the size as small as possible and just get the benefits of B-TRAN. So I don't think it's going to affect it at all. I think it's actually going to help with the acceptance of it since it really reflects the feedback we got from multiple customers that we're already testing the first version of our SymCool module.
Jeff Christensen: Can one B-TRAN be used for the positive and negative sides of an EV contactor due to B-TRAN inherent bidirectionality?
Daniel Brdar: We don't know exactly how the OEMs are going to want to configure the contactor itself. We're in the early stages of getting them up to speed on it. They're looking at what their options are in terms of how they want to use the device. So as we get further along with the OEM that we announced here recently, we'll have a better feel in terms of how they want to configure it.
Jeff Christensen: Thank you. You can submit additional question -- if you have other questions and you can submit questions by clicking on the Q&A button. How would your strategy change in the face of a potential global glut of silicon carbide in much lower silicon carbide MOSFET prices?
Daniel Brdar: Well, we know that's going to happen over time. There's a lot of silicon carbide capacity that's being built out there. Silicon carbide still though have some core issues in terms of materials challenges that need to be dealt with. We will be lower cost. I mean, silicon is a lower-cost material. It's already in huge volume in terms of its availability. Our wafers are not anything special. It's easier to process. Silicon carbide is a very hard material physically in terms of polishing it and processing wafers. But as silicon carbide gets lower cost and as the quality of the material gets better, we'll make a silicon carbide B-TRAN. There's nothing that stops us from starting to do work in those advanced materials other than the fact that we just see high cost and materials challenges still haven't been solved yet.
Jeff Christensen: Thank you. Dan, it looks like there's no other questions. Do you have any closing remarks?
Daniel Brdar: I just want to thank everybody for joining today's call. It's an exciting quarter as we added another global automotive OEM, added a second high-quality distributor for our products; qualified a second high-volume wafer fabricator, saw multiple customers from our test and evaluation program transition to placing orders and increasing the power rating of our products. So we look forward to continuing commercial announcements before our next update call. And with that, operator, you can end the call.
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a great day.